Operator: Good day, and thank you for standing by. Welcome to the First Quarter EXL Service Holdings Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there'll be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, John Kristoff. Please go ahead.
John Kristoff: Thank you, Julia. Hello and thank you for joining EXL's first quarter 2023 financial results conference call. On the call with me today are Rohit Kapoor, Vice Chairman and Chief Executive Officer; and Maurizio Nicolelli, Chief Financial Officer. We hope you've had an opportunity to review the first quarter press release we issued this morning and we've also posted an earnings slide deck and investor fact sheet to the IR section of our website. As a reminder, some of the matters we'll discuss this morning are forward-looking. Please keep in mind that these forward-looking statements are subject to known and unknown risks and uncertainties that could cause actual results to differ materially from those expressed or implied by such statements. Such risks and uncertainties include, but are not limited to, general economic conditions, those factors set forth in today's press release, discussed in the company's periodic reports and other documents filed with the SEC. EXL assumes no obligation to update the information presented on this call. During our call today, we may reference certain non-GAAP financial measures, which we believe provide useful information to investors. Reconciliation of these measures to GAAP can be found in our press release or slide deck and IR fact sheet. Now, I will turn the call over to Rohit.
Rohit Kapoor: Thanks, John. Good morning, everyone. Welcome to EXL's first quarter 2023 earnings call. I'm pleased to be with you this morning reporting another great quarter. We continued our strong momentum into the first quarter with total revenue of $401 million, representing growth of 22% on a reported basis and 23% in constant currency. We grew adjusted diluted EPS 23% to a $1.74 per share. Our data-led strategy has expanded our total addressable market and generated a sustainable competitive advantage for EXL. The consistent execution of this strategy continues to fuel our growth across our data analytics and digital operations and solutions businesses. In analytics, we delivered revenue of $182 million for the quarter, up 6.5% sequentially and 22% year-over-year. This was driven by strong growth in healthcare and banking as well as continued growth in insurance with new and existing clients. Looking at our digital operations and solutions business during the first quarter, we generated revenue of $219 million with growth of more than 7% sequentially and 21% year-over-year. This was driven by continued strong momentum in our insurance and emerging business. This growth was fueled by an expansion of existing client relationships and strong execution on new client wins from 2022. EXL is uniquely positioned to help our clients achieve their goals through our focused data led approach, deep domain expertise and impactful digital transformation capabilities. Let me share a couple of examples of how we are leveraging these strengths and differentiating ourselves in the marketplace. In insurance, we are helping our clients grow their businesses, manage their risks, contain costs, and improve customer experience. For example, we are enabling them to rapidly respond to increasing consumer demand for annuity and insurance products in a rising interest-rate environment. We have built an end-to-end ecosystem for easily configuring pricing and launching a variety of complex life and annuity products for our clients. Our platform is modular and pre-configured to enable regulatory compliance across each state, allowing our clients to launch new products with speed. This ecosystem is fueled by our data led approach. Our market leading AI-powered new business and underwriting solution helps our clients better manage their risk, lower their underwriting costs, and reduce cycle time by increasing straight through processing. Using advanced machine learning algorithms, our platform analyzes vast amounts of underwriting data to identify patterns and trends, helping our clients make informed decisions in a matter of minutes. In another example, we partnered with a global custodian bank to transform their end customer experience across the enterprise with the goal of improving customer satisfaction, and at the same time, reducing costs. The transformation plan focuses on customer experience operations across all major lines of business for the bank. We conducted a detailed diagnostic assessment of the bank's data and technological capabilities and devised a strategic digital roadmap to help them transform and achieve their goals. We re-imagine their customer journeys using our data-led approach. We are accomplishing this by identifying through-call intent using transcript analytics, improving channel effectiveness by stitching cross-channel interactions data and enhancing operational efficiency using agent performance data. These are just two examples of how our data led approach is differentiating us in the marketplace and creating value for our clients. Looking ahead, we are encouraged by the continued momentum across both our businesses and our pipeline of opportunities. Our strong performance in the first quarter and current visibility for the remainder of the year gives us confidence to raise our revenue and EPS guidance. Maurizio will walk you through the details in a few moments. While the macroeconomic environment is likely to remain volatile, EXL has a resilient business model with long-term client relationships and approximately 80% of our revenue is recurring in nature. We also have a diverse mix of business across data analytics and digital operations and solutions in a variety of vertical markets. Finally, our business is focused on helping our clients grow revenue, reduce costs and improve end customer experience. In other words, we are relevant for our clients in all kinds of economic environments. As we see indications of the job market slowing, the potential benefits are lower attrition and wage inflation and an improvement in the recruiting and hiring environment. During the first quarter, we typically see a seasonal uptick in attrition. However, our attrition rates during the quarter remained historically low at 26%. Our digital and analytics attrition was even lower, which is especially encouraging as this represents a critical skill set for us. In addition, we are seeing some improvement in the recruiting environment and we were able to add approximately 2,400 employees during the quarter. We continue to focus on being the employer of choice in our space by offering dynamic, challenging work, career growth opportunities and a supportive and inclusive culture. I'm also pleased to highlight key appointment within our senior leadership team. Andy Logani has been promoted to Chief Digital Officer. In this role, Andy will lead EXL's digital strategy and execution. He is responsible for implementing cutting edge technologies and creating new digital solutions and services. Andy previously led our Life and Annuity business within the insurance segment. He has been with EXL for more than 20 years and brings a wealth of experience, leading client technology transformation initiatives across our company. He has the knowledge to bring the strength of EXL to integrate and align our digital initiatives across all of our business units for our clients. Digital has become an increasingly large and important part of our business and I could not be more confident in Andy's ability to take digital to the next level for EXL and for our clients. Before I conclude, I'd like to spend a few minutes sharing my thoughts on the rapid evolution of generative AI and how EXL is positioning itself to best leverage the technology in our offering to clients. EXL has been incorporating AI as an integral part of our solution set for several years already. We currently have more than 50 AI-based analytics offerings deployed in the marketplace and we continue to invest heavily in this space. We are now developing advanced digital solutions, leveraging generative AI that draw insights from unstructured datasets to create new AI models and re-train existing ones to mitigate risk, create cross-sell and upsell opportunities, and improve the end user experience. As our clients seek to deploy AI models across the enterprise, an enormous amount of work needs to be done to breakdown data silos, migrate data to the cloud, and allow enterprise wide data to be easily accessed. This represents the core of EXL's value proposition. Our unmatched data led capabilities, coupled with our strong relationships and domain expertise in insurance, banking, healthcare, and other industries, position us well to help our clients get the most from these new technologies in the years to come. And with that, I'll turn the call over to Maurizio.
Maurizio Nicolelli: Thank you, Rohit, and thanks everyone for joining us this morning. I will provide insights into our financial performance for the first quarter followed by our revised outlook for 2023. We delivered a strong first quarter with revenue of $400.6 million, up 21.7% year-over-year on a reported basis. On a constant currency basis, we grew revenue 23% year-over-year and 6.6% sequentially. Adjusted EPS was $1.74, an increase of 22.5% year-over-year. All revenue growth percentages mentioned hereafter are on a constant currency basis. Revenue from our digital operations and solutions businesses as defined by three reportable segments, excluding analytics was $218.8 million, which represents year-over-year growth of 23.2%. Sequentially from the fourth quarter of 2022, we grew revenue 6.9%. In the insurance segment, we generated revenue of $125.9 million, an increase of 23.3% year-over-year, driven primarily by expansion of existing client relationships. The insurance vertical, consisting of both our digital operations and solutions and analytics businesses, grew 21.8% year-over-year with revenue of $163.6 million. In the emerging segment, we grew revenues 34% year-over-year to $66.2 million. This growth was driven by new client wins in 2022 and expansion of existing client relationships. The emerging vertical consisting of both our digital operations and solutions and analytics businesses grew 26.5% year-over-year with revenue of $154.2 million. The healthcare segment reported revenue of $26.7 million, growing 2.2% year-over-year and 5.4% sequentially from the fourth quarter of 2022. This growth was driven by higher volumes in the clinical services business. The healthcare vertical consisting of our digital operations and solutions, and analytics businesses grew 19.2% year-over-year, with revenue of $82.8 million. In the analytics segment, we generated revenue of $181.8 million, up 22.7% year-over-year. This growth was driven by expansion in existing client relationships in banking and financial services, healthcare and insurance. Sequentially, we grew analytics revenue 6.3%. We reduced SG&A expenses by 50 basis-points year-over-year to 19%, driven by operating leverage. Our adjusted operating margin for the quarter was 19.4%, up 120 basis points year-over-year, driven by higher profitability on one-time revenue of approximately $6 million and lower SG&A expenses. Our effective tax rate for the quarter was 24%, up 10 basis points year-over-year. Our adjusted EPS for the quarter was $1.74, a 22.5% increase year-over-year on a reported basis. Our balance sheet remains strong. Our cash, including short and long-term investments on March 31 was $236 million and our revolver debt was $200 million for a net cash position of $36 million. We generated cash flow from operations of $16 million in the first quarter compared to a cash outflow of $27 million in the first quarter of 2022. This improvement resulted from the expansion in adjusted operating margins and improved working capital. During the quarter, we spent $12.5 million on capital expenditures and repurchased $36 million of our shares at an average cost of $162. Now, moving on to our outlook for 2023. While we are encouraged by the momentum we carried into the first quarter across all our businesses, it is important to note that approximately 1.5% of our first quarter revenue came from one-time revenue that may not occur in subsequent quarters. As Rohit noted, we also remain cautious about the macroeconomic outlook for the remainder of the year, as there have been an increasing number of indicators pointing towards economic volatility. Based on these factors and our current growth visibility for the remainder of the year, we are adjusting our revenue and earnings guidance for 2023. We now anticipate revenue in the range of $1.595 billion to $1.62 billion, representing year-over-year growth of 13% to 15% on both a reported and constant currency basis. This represents an increase of $27 million at the midpoint of our previous guidance of $1.56 billion to $1.6 billion. We expect a foreign exchange gain between $1 million to $2 million -- $3 million (ph), net interest expense between $1 million to $2 million, and our full year effective tax rate to be in the range of 22% to 23%. Based on this, we anticipate our adjusted EPS to be in the range of $6.75 to $6.90, representing year-over-year growth of 12% to 15%, which is an increase from our prior adjusted EPS guidance of 10% to 13% growth. We expect capital expenditures to be in the range of $47 million to $52 million. Looking at the second quarter, we expect revenue to be comparable to the first quarter due to the one-time revenue in the first-three months of 2023. With a consistent successful execution of our data led strategy, expansion of our total addressable market and our industry talent advantage, we remain well positioned to continue to outperform over the long term. With that, Rohit and I will be happy to take your questions.
Operator: Thank you. At this time, we will conduct a question-and-answer session. [Operator Instructions] Our first question comes from the line of Bryan Bergin of TD Cowen. Your line is now open.
Jared Levine: Hi. It's actually Jared Levine on for Bryan today. In terms of analytics, how did marketing analytics revenue perform in 1Q relative to the rest of analytics segment, revenue base in any other project based analytics area performance we're calling out here?
Rohit Kapoor: Sure, I'll take that. We've stated this before that we expected marketing analytics services to be much softer given the economic environment. Typically for us, Q1 is the strongest from a marketing analytics services standpoint, but this year for us, marketing analytic services actually declined year-on-year, because clients are holding back their spend on marketing analytics and the acquisition of new customers in this economic environment. So, our analytics business was able to grow by 22% despite the fact that we had a slowdown in marketing analytics services and that is certainly a trend that we're seeing, where clients are holding back their spend on marketing and on customer acquisitions.
Jared Levine: Okay. Great. And then, continuing with analytics theme here, can you talk about what you saw specifically in your bank regulatory analytics business over the last month amid the U.S. bank volatility? And then also, how are you thinking about the medium-term opportunity for that business if the banking industry sees further regulatory changes?
Rohit Kapoor: Sure. So clearly, there has been a lot of volatility and change in the banking industry environment. First off, we are actually very happy with the portfolio that we have within banking and financial services because we largely deal with larger banks and we have very limited exposure to small banks or community banks. We don't have any exposure to banks that work with crypto or with VC and therefore, we are very well protected in terms of the mix of customers that we have within the banking industry vertical. The second part of this is that -- the change for us in the quarter in banking and financial services. Actually there was no real change that we saw as such and we continue to see good momentum with the discussions and conversations that we're having with our clients in the banking vertical. Now, there is a possibility that given the volatility in the first quarter, we might see banks hold back their decision making, particularly associated with discretionary spending in the second quarter or in the rest of the year. However, we believe that as the regulatory compliance and risk management is stepped up in the banking industry vertical, EXL will benefit from that because our clients will need to strengthen their analytical business models around regulatory compliance and around risk management. We also think that there's going to be a tailwind to the work that we perform in banking, because this industry is going to focus a lot more on cost rationalization, and that plays to our strengths as well. So given the kind of portfolio of customers that we have, the type of work that we do within banking and financial services, we think this is going to be net positive for us as we go along. There might be some discretionary spend that gets pushed out, but longer term, we think there is much more opportunity in banking.
Jared Levine: Great. Thank you.
Operator: One moment for our next question. Our next question comes from the line of Maggie Nolan of William Blair. Your line is now open.
Maggie Nolan: Thank you. Can you talk about investments in new deal ramp ups and how that's progressing and what impact we can expect to see on margins on a quarterly basis?
Rohit Kapoor: Sure, Maggie. So we, as you know, did win a fair amount of new business in '22 and that momentum continues on in the first quarter of '23 as well. As we onboard and ramp-up these client wins, particularly in digital operations and solutions, there is an investment that we need to make to be able to onboard these new clients. You can see from the employee head count growth that we've been adding that we've been investing very deliberately in this particular area. We think this will continue pretty much going forward as well. So, some of these ramps are still not complete, and we think we will continue to invest out here. As these deals mature, we would expect that these deals will get towards normal operating margin and gross margin levels and therefore, that will be a benefit to us as we move forward. Our hope is that we will continue to bring in more new clients and new business. So, this is a steady state kind of operation that we would expect to see and we don't think that there will be much change in terms of the way in which the margins will get impacted by these new deals. As Maurizio mentioned, Q1 for us was a stand-out quarter because we had a one-time revenue of about $6 million in the first quarter that resulted in a higher adjusted operating profit margin in the first quarter. We think that that will normalize in the next few quarters as we go forward.
Maggie Nolan: Got it, thank you. And you referenced the head count additions and it's great to see that it certainly reinforces that the value proposition is relevant in any type of environment. What particular skill sets or vertical expertise are you focusing on with respect to that hiring and has that changed at all in the past few quarters?
Rohit Kapoor: Now, it's pretty much broad-based. Like we said, we continue to see strength in our insurance and emerging business and so, we added headcount out there. For us, analytics continues to kind of move along nicely. So that's been a skill set that's -- we've been adding. And frankly with the change in the economic environment, the ability to recruit people in analytics and in digital, it's become a little bit better. And we're also very pleased with the attrition rate in analytics and digital dropping down quite significantly in the first quarter.
Maggie Nolan: Thank you.
Operator: One moment for our next question. Thank you. Our next question comes from the line of Ashwin Shirvaikar of Citi. Your line is now open.
Ashwin Shirvaikar: Hey. Thanks and good quarter here. There was a comment in your prepared remarks where you said you're looking at the increased number of indicators that make you cautious, obviously seems – that seems fair regarding what we all read about the environment. I just want to get your take on how much of that comment is just a broad environment statement versus what's going on with your own base of clients and sort of how purchase decisions are moving in your base of clients?
Rohit Kapoor: Sure, Ashwin. So, let me just try and provide a perspective on the demand environment. So, first off, the secular demand for both data analytics and digital operations and solutions, which are the two business segments of our company, both of them remain fundamentally strong and intact, and we don't see that shifting much. However, we do think that in the interim period, the demand environment has shifted. Clients, as you know, would either focusing on growth initiatives or cost reduction initiatives or improving the end customer experience. We think the balance in this environment has shifted towards cost management, efficiency, and improving end customer experience at the same time while reducing costs. What that means is that the digital operations and solutions are services that we provide to our clients. Those become a lot more attractive to our customers because we can reduce that cost, we can improve that end customer experience and we can create a lot more digitization and automation for straight through processing. It also means that we are seeing larger deals amongst our clients across industry verticals. So, frankly, that's what is powering the growth of our digital operations and solutions business, which is much higher than our expectations and much higher than the historical norms. Now, we are seeing marketing analytics services slow down and that's scenario where clients are holding back their investments. We may see delayed decision making around -- on some of the discretionary spend that our clients have and that's something, which we see specifically. But at the same time, we are very encouraged by new technologies that are coming in, particularly generative AI because it creates more work that needs to be done, particularly on the data management side as well as in terms of implementation and execution and the adoption of generative AI models. So, frankly, it's going to be a mix where we going to see some pockets have less strengths and other pockets actually have greater strength as such. Overall, we feel the demand environment is still very robust and very positive.
Ashwin Shirvaikar: Yes. That's very clear. Thank you for that. The other question, just a bit more historical context, I guess. There used to be a time when if you signed one or two or three good sized deals, the ramping of those deals might have hurt margins in the short run, but that doesn't seem to be happening in more recent wins. And I just want to ask, is that -- are you just doing client onboarding better? Is that the size and scale factoring? Is it something to do maybe with how contracts are structured? Any color or context would be great there.
Maurizio Nicolelli: Hey, Ashwin. It's Maurizio. So why don't I answer that a little bit. You will see, like Rohit talked about, ebbs and flows in our gross margin due to ramps. An example would be, if you look at our emerging group, you saw a lower margin in the fourth quarter because we are ramping up a number of large-scale wins for the first quarter coming up and then you saw in the first quarter of 2023, that gross margin come back up over 500 basis points. And so, you're going to see that over time within the segments, but overall, because we've gotten that much larger and that much more scale, it becomes much more less of an issue and much more manageable now going forward. But you will see, within the segments, the ebbs and flows, but it becomes much more manageable at our scale.
Ashwin Shirvaikar: Yes. Got it. So, company-wide, it's not as much of an issue. It's just at a lower now. Understood. Thank you.
Operator: One moment for our next question. Our next question comes from the line of Robbie Bamberger. Your line is now open.
Robert Bamberger: Yeah. Thanks for taking my question. Maybe can you give a little color about what kind of work that $6 million one-time revenue was and I guess, what segment was that in and then, what was the margin on that one-time revenue?
Maurizio Nicolelli: Sure. The one-time revenue during the quarter was about $6 million. It was all signed within the first quarter. A little bit of -- a lot of that revenue was first quarter kind of project, one-time based revenue, a little bit of catch up revenue that actually got signed in Q1 from Q4. And it was predominantly sitting -- it was a big piece of that or a bigger piece of that was sitting in our healthcare segment. If you look at the gross margin on that, it was pretty significant and really popped up our AOPM during the quarter, which was the big factor behind that, that elevated adjusted operating margin.
Robert Bamberger: Yeah. That makes sense. And maybe just going to guidance real quick. Any change to the analytics 15% to 18% and digital operations 8% to 10%? And then you had talked about the macroeconomy slowing a bit. Can you maybe talk about how the cadence should look maybe for Q2 through Q4? Is the revenue growth -- should we expect some mildly decelerating growth throughout the year?
Maurizio Nicolelli: Yeah. So on guidance, we're still very comfortable with that -- those guidance ranges for digital operations solutions and analytics. If you look at our guidance really for the rest of the year, it has increased from the overperformance in Q1, but we're still cautious about the remaining three quarters, so we're still looking at those -- that those growth numbers that we talked about back in February. If you looked at the cadence for the year, when you look at the first quarter, in order to get the cadence of the year, you do need to back out the $6 million from the $401 million that we achieved in Q1. So, it really -- starting point in Q1 will be $395 and build off that number, and building off that number, you can easily get to the middle to higher end of the range.
Robert Bamberger: Great. Thank you very much.
Operator: One moment for our next question. Thank you. Our next question comes from the line of Mayank Tandon of Needham. Your line is now open.
Mayank Tandon: Thank you. Good morning. Congrats, Rohit and Maurizio on the quarter. I wanted to start with the deals that you won in the quarter of 16; 12 in digital and four in analytics. Could you speak to what areas in terms of verticals? And also on that same note, have you seen any change in the competitive landscape for these deals, I mean more pressure from the big [indiscernible] or is it still the usual suspects when you're competing on these new opportunities?
Rohit Kapoor: Thanks, Mayank. No, so I think for us, the deal wins are continuing to show good traction and momentum. Our pipeline continues to remain strong. Our win rates are healthy. The wins that we had in the first quarter are pretty much broad-based across industries, so nothing out there that was unusual. I think in terms of competition, we are certainly seeing a lot more competition as we traditionally have from players that can integrate in a lot more of analytics and operations and technology. So, bringing in those three skill-sets together, that's where we think client demand is moving towards, that's where we are positioned well, and that's where we tend to see competition come in and compete for these types of deals. I think our understanding of data, our understanding of the domain, our ability to apply digital in practical terms and deliver the outcome to our clients, that is what seems to be resonating very nicely with our clients and prospects and the awarding of that business. So, we're actually very happy with how the pipeline and the new deal activity is progressing for us.
Mayank Tandon: That's great to hear. And then just as a follow-up question, I don't know, Maurizio, if you touched on this. If you did, I apologize in advance. But in terms of capital allocation, what is sort of the agenda this year and maybe as we look into next year as well around potential stock buybacks versus M&A and in that sense, what does the M&A pipeline look like?
Maurizio Nicolelli: Sure, so, we haven't covered that yet, so very good question. So, we are generating free-cash flow upwards of $200 million a year right now. And so, we do have plenty of capital for us to deploy. When we look at how we deploy that capital, first and foremost, we look at internal investments, which we deploy a certain amount of capital to a number of investments internally to really build-out our solution set. The second piece is share buyback. Now, we started buying back shares in the first quarter because we did see a level of accretion in our stock price that we could take advantage of and that will become a part of our of our capital allocation for the year. So, we have initiated our share buyback and that will be comparable to what we did last year, if not a little bit more than what we did last year now that we've already purchased -- repurchased [ph]$36 million of our stock. And then lastly will be M&A and the M&A pipeline is still fairly frothy. We do see valuations becoming a little bit more reasonable from where they were 12 months ago, but we're still being very selective on the M&A front. But given our growth and given that given that we need capabilities in certain areas of our business, particularly in analytics, digital and certain solution sets, we'll still be active in M&A and that'll be part of us allocating that free-cash flow that we're generating.
Mayank Tandon: Got it. That's helpful. Thank you so much.
Operator: I will end the call after these comments. This concludes our Q&A session and today's conference call. Thank you all for attending. You may all disconnect.